Operator: Good day, everyone, and welcome to the Global Partners Second Quarter 2025 Financial Results Conference Call. Today's call is being recorded. All lines have been placed in a listen-only mode. With us from Global Partners are President and Chief Executive Officer, Mr. Eric Slifka; Chief Financial Officer, Mr. Gregory Hanson; Chief Operating Officer, Mr. Mark Romaine; and Chief Legal Officer and Secretary, Mr. Sean Geary. At this time, I'd like to turn the call over to Mr. Geary for opening remarks. Please go ahead, sir.
Sean T. Geary: Good morning, everyone, and thank you for joining us. Today's call will include forward-looking statements within the meanings of federal securities laws, including projections or expectations concerning the future financial and operational performance of Global Partners. No assurances can be given that these projections will be attained or that these expectations will be met. Our assumptions and future performance are subject to a wide range of business risks, uncertainties and factors, which could cause actual results to differ materially as described in our filings with the Securities and Exchange Commission. Global Partners undertakes no obligation to revise or update any forward-looking statements. Now it's my pleasure to turn the call over to our President and Chief Executive Officer, Eric Slifka.
Eric S. Slifka: Thank you, Sean, and good morning, everyone. Global delivered strong second quarter results in line with our expectations. These results reflect the strength of our integrated business and the value of staying focused on disciplined execution. Through the first half of 2025, we grew earnings and cash flow year-over-year with net income increasing 8%, adjusted EBITDA increasing 7% and adjusted DCF increasing 9% from the same period last year. That kind of performance speaks to the power of our diversified platform and our ability to execute in a dynamic market. We see continued strength across our retail, terminal and wholesale liquid energy segments. Our recent terminal acquisitions have expanded our reach, strengthened our presence in key markets and established an even stronger platform for long-term unitholder value and future M&A opportunities. To that end, last month, the Board approved a quarterly cash distribution of $0.75 per unit, our 15th consecutive increase. The distribution is payable on August 14 to unitholders of record as of the close of business on August 8. Before I turn the call over to Greg, I want to take a moment to reflect on the passing of my uncle, Richard Slifka, our long-time Chairman of the Board, who left us peacefully in May at the age of 85. Richard was part of Global for more than 60 years. His steady leadership and deep integrity helped shape the company we are today. Richie cared deeply about people, always guided by a strong sense of purpose and a commitment to doing what was right for the long term. Those who knew him will remember his generosity, thoughtfulness and quiet strength. His presence is deeply missed and his legacy continues to live on in the values he instilled across our organization and community. Following Richie's passing, we welcome Tom Jalkut to our Board of Directors. Tom brings a wealth of experience from his long legal career at Nutter McClennen & Fish, where he has served as a partner since 1985. With that, I'll turn the call over to Greg for the financial review. Greg?
Gregory B. Hanson: Thank you, Eric, and good morning, everyone. Turning to our results. It's important to note the difficult comparison of our second quarter 2025 results with the second quarter of 2024. As you might recall, in the first quarter of 2024, certain products in our Wholesale segment were negatively impacted by the timing of mark-to-market valuations that were then realized in the second quarter of 2024, leading to outsized Wholesale segment results in that quarter. As a result, we believe that our year-to-date results through June provide a more accurate gauge of our performance. As Eric mentioned, for the first 6 months of 2025 compared to 2024, we saw strong growth in our performance with adjusted EBITDA of $189.4 million versus $177.3 million in 2024 and adjusted DCF of $98.8 million compared with $90.4 million. Now turning to our quarterly results. As I review the numbers, please note that all comparisons will be with the second quarter of 2024, unless otherwise noted. Net income for the second quarter was $25.2 million versus $46.1 million in Q2 last year. EBITDA was $95.7 million for the second quarter compared with $118.8 million and adjusted EBITDA was $98.2 million versus $121.1 million. Distributable cash flow was $52 million for the second quarter compared with $73.1 million and adjusted DCF was $52.3 million compared with $74.2 million last year. For the second quarter this year, net income, EBITDA, adjusted EBITDA, DCF and adjusted DCF included a loss on early extinguishment of debt of $2.8 million related to the redemption of our senior notes due 2027 in the quarter. Adjusting for this loss on early extinguishment of debt, our adjusted EBITDA for Q2 '25 was $101 million. Trailing 12-month distribution coverage as of June 30, 2025, was 1.81x or 1.75x after factoring in distributions to our preferred unitholders. Turning to our segment details. GDSO product margin decreased $13.6 million to $207.9 million in the quarter, primarily as a result of lower site count year-over-year and the impact of adverse weather conditions in the Northeast, which saw a record 13 weekends of consecutive rain. Product margin from Gasoline Distribution decreased $9.4 million to $137.9 million, reflecting lower fuel volumes due in part to the decreased site count year-over-year and the weather impact. On a cents per gallon basis, fuel margins of $0.36 per gallon remained flat with the second quarter of 2024. Station Operations product margin, which includes convenience store and prepared food sales, sundries and rental income, was similarly impacted by the weather and lower site count. It decreased $4.2 million to $70 million in the second quarter of 2025. At quarter end, we had a portfolio of 1,553 sites, 42 fewer than prior year as we continued our strategic divestment activities to enhance and optimize our overall portfolio of sites. In addition, we operated or supplied 66 sites under our Spring Partners Retail joint venture. Looking at the Wholesale segment. Second quarter product margin was $91.7 million. Product margin from gasoline and gasoline blendstocks decreased $11.6 million to $58.8 million, primarily due to less favorable market conditions, largely in gasoline, but also in gasoline blendstocks. That decline was partially offset by terminal acquisitions from Gulf Oil and ExxonMobil in the second and fourth quarters of last year, respectively. Product margin from distillates and other oils increased $11.4 million to $32.9 million, primarily due to more favorable market conditions. The Commercial segment product margin decreased $0.1 million to $6.1 million, in part due to less favorable market conditions in bunkering. Looking at expenses. Operating expenses increased $5.7 million to $135.7 million in the second quarter, primarily related to our terminal operations and the additions of the Gulf and ExxonMobil terminals. SG&A increased $2.4 million in Q2 '25 to $74.7 million, reflecting in part increases in wages and benefits and various other SG&A expenses. Interest expense was $34.5 million in the second quarter of '25, down $1 million from last year, in part due to lower average balances on our revolving credit facility. CapEx in the second quarter was $15 million, consisting of $9.9 million of maintenance CapEx and $5.1 million of expansion CapEx that primarily related to investments in our gasoline stations and terminals. For the full year, we continue to anticipate maintenance capital expenditures of approximately $60 million to $70 million. Expansion capital expenditures, excluding acquisitions, are anticipated to be approximately $65 million to $75 million in 2025, relating primarily to investments in our gasoline station and terminal business. At $70 million, the midpoint of our expansion CapEx range is down $10 million from the range stated on our year-end 2024 call. Our current CapEx estimates depend in part on the timing of completion of projects, availability of equipment and workforce, weather and unanticipated events or opportunities requiring additional maintenance or investments. Turning to the balance sheet. At June 30, leverage as defined in our credit agreement as funded debt to EBITDA was 3.5x. We had $198.5 million outstanding on the working capital revolving credit facility and $88.2 million outstanding on the revolving credit facility. During the quarter, we completed an upsized private offering of $450 million senior unsecured notes with a 7.125% interest rate and a 2033 maturity. We used the proceeds to retire our $400 million 7% senior notes due 2027 through a combination of a cash tender offer and a subsequent redemption. The remaining funds were used to pay down borrowings under our credit facility. This transaction strengthens our balance sheet, extends our debt maturity profile, enhances our financial flexibility moving forward. Before I hand the call back to Eric for closing remarks, I'll just mention that we'll be participating in Citi's 2025 Natural Resources Conference next week. If you're attending, we look forward to seeing you there. Now let me turn the call back to Eric for closing comments. Eric?
Eric S. Slifka: Thanks, Greg. As we move into the second half of the year, our focus remains on operational excellence, disciplined capital allocation and delivering consistent returns for our unitholders. Now Greg, Mark and I would be happy to take your questions. Operator, please open the line for Q&A.
Operator: [Operator Instructions] Your first question comes from Selman Akyol with Stifel.
Selman Akyol: Eric, those were truly kind words on your uncle and they were heartfelt and sorry for your loss.
Eric S. Slifka: Thank you. Thank you very much, Selman. I do appreciate that.
Selman Akyol: I guess you guys talked about the weather, and I'm just wondering, is there any way you can quantify what impact you thought that had on the quarter?
Gregory B. Hanson: Hey, Selman, it's Greg. Yes, it's hard. Candidly, we looked at it 1,000 different ways to try and figure it out. We look at same-site volumes, we look at same-site store merchandising. It really impacted May and into the first couple of weeks of June. I don't have a number for you, but it was material. It rains -- those -- every Saturday for those 13 weeks. That hasn't rained that much on weekends in the Northeast since 1970. Last time, it was 12 weeks, was the previous record of 13 weeks. So we really saw it in our May results, and it impacted not just the merchandising and packed up sales and things like that, but also on the fuel side. But I don't have an exact number to give to you.
Selman Akyol: Understood. And you also referenced sort of 42 fewer sites. So I'm just curious, how close are you to being done on the rationalization? Or is there much more to go?
Gregory B. Hanson: Yes, I'd quantify not much more to go. I think we're very happy where we are on site count. We do an annual review every year and looking at our sites, we look at the sustainability of those sites over the next 10 years, if they fit our operating model, if they should be a company-operated or they should be a dealer or a commission agent. We looked at the class of trade, too. I think where we sit right now, we're very satisfied with our portfolio overall. There's probably a handful of sites that we'd look to potentially either convert or divest. And then we will do another review process as we annually do towards the fourth quarter and look at the process. But it's a continuing process, especially as we buy sites or do rate and rebuild or NTIs. It's just -- it's a constant sort of churn in the portfolio. But that was probably a bigger chunk last year, the 40 sites we did. But I think we're -- overall, we're pretty comfortable with the portfolio as it stands today.
Selman Akyol: Got it. And you guys had strength in your CPG. And so I'm curious, is that tied back to the terminals you've been acquiring and we're seeing that kind of get layered in there?
Gregory B. Hanson: No. It's really independent from our terminals. Our supply advantages and our vertical integration, that really shows up on our Wholesale segment. Those cents per gallon in the GDSO segment are pretty pure cents per gallon numbers. I think overall, it wasn't that volatile of a quarter from a pricing standpoint. If you look at the RBOB curve, you had a big sell-off in early April. So you had some pretty strong margin in early April after the Independence Day or Liberation Day when prices crashed pretty quickly and you had decent margins in April. And then May was sort of a grinded out month until June, you saw the big spike when Iran, the bombing of Iran happened and then it quickly came off. So towards the end of June, there were some opportunities for decent margins. But overall, I'd probably say it's a more normalized quarter overall.
Selman Akyol: Got it. And then can you guys just sort of comment on the acquisition outlook and what you're seeing out there? And are bid-ask spreads still pretty wide coming in? Anything you can offer color there?
Eric S. Slifka: Yes. I mean I think you -- it's Eric Slifka. I think you hit it right on the nose there. Bid offers are wide on the terminaling side, I'd say on the retail side, it remains active. But I think there are some opportunities out there, and we'll just see if there's a way to try and move forward.
Operator: At this time, I'd like to turn the call back to Mr. Slifka for closing comments.
Eric S. Slifka: Thank you for joining us this morning, and we look forward to keeping you updated on our progress. Thanks, everyone.
Operator: This concludes today's call. Thank you for attending, and have a wonderful rest of your day.